Benita Barretto: Thank you everyone on the line for joining us for the Adecco Group's Q1 2021 Results Call. With me today are Adecco Group's CEO, Alain Dehaze; and CFO, Coram Williams. Following prepared remarks by Alain and Coram, we will open up the lines for your questions. Before we begin, I would like to draw your attention to the information on slide two. On today's call, we will be referencing both GAAP and non-GAAP financial results and operating metrics. This conference call will include forward-looking statements. These statements are based on assumptions as of today and are therefore subject to risks and uncertainties. With that, here's Alain. 
Alain Dehaze: Thank you, Benita, and a warm welcome to everyone on our call. Before we begin the results with you, I would like to take this opportunity to thank Nick for his outstanding contribution over the past three-and-a-half years as our Investor Relations leader. Happily, this is not a far well, as Nick has moved into a new assignment here at the Adecco Group. So thank you Nick and we wish you all the very best in your new role. And welcome Benita, our new Head of Investor Relations. We are looking forward to working with you serving our investor community. Let's now start with slide three and the key takeaways from the quarter. We had a robust start to the year, again, showing our business resilience and/or sector-leading profitability. Even with the continued challenges presented by COVID-19, we returned to modest revenue growth, led by growth in Adecco. Several of our businesses are now back above 2019 levels, including Adecco Southern Europe, LatAm and Japan, but also LHH and General Assembly within Talent Solutions and our modest consulting business. We also saw double-digit growth in our margin accretive solutions, namely outsourcing and training. And we delivered a broad-based margin improvement with all global business units contributing strongly. This reflected positive mix development, pricing and cost discipline across the group. During the quarter, we progressed the implementation of Future@Work. We successfully transitioned it to the new brand-driven customer-centric organization model, which simplifies the management of the business and brings strategic alignment within our GBUs. And we have defined the key initiatives that will drive sustainable growth and EBITDA improvements in the coming years. Our passion for making the future of work for everyone is undiminished. We are proud to have upskilled approximately 70,000 people in the first quarter. And in addition, we expanded our inclusion programs in France with 12 new dedicated branches opened. In the US General Assembly launched a public sector practice, building on its successful community reskilling initiatives. Let's now turn to slide four, to summarize the quarter financial results. Revenues were up 2% year-on-year. It's still shy of 2019 levels. Profitability was strong with the Group delivering a gross margin of 20.1% and best in sector EBITDA margin of 4.2%. Our focus on improving mix, pricing discipline, good cost control and productivity growth had a very positive effect. We end the quarter with a strong financial position and cash flow development. The cash conversion ratio was 117% and our net debt-to-EBITDA ratio was 0.3 times. With this financial strength, we can deliver attractive returns to shareholders, while continuing to invest in our future. We maintain our dividend throughout the crisis and in April distributed a dividend of CHF 2.5 per share, following shareholder approval at the group's 2021 Annual General Meeting. In addition the €600 million share buyback program recently got underway. I would now like to hand over to Coram to discuss the results in more detail.
Coram Williams: Thank you, Alain, and good morning, everybody. Let me begin with some perspectives on the group results. Revenues of €5 billion were up 2% on a trading days adjusted basis. The quarterly result benefits from a 9% year-on-year improvement in revenues in March, aided by an easing comparative. Trading conditions on a sequential basis were broadly stable, due to the ongoing COVID related restrictions, as we described in our prior earnings call. Group EBITA excluding one-offs was €207 million, with a margin of 4.2%, an expansion of 120 basis points year-on-year. The result includes approximately 20 basis points of favorable contribution from employment support schemes in Adecco Americas and Northern Europe, which we expect to reduce significantly in Q2. This leaves a very robust improvement of 100 basis points, driven by both gross margin strength and our disciplined investments. I'll explain more on both later in the presentation. Cash generation was strong, with cash flow from operating activities of €114 million compared to €69 million in the same period last year. This was driven by higher operating income, as well as continued good collections with DSO down two days year-on-year. Our cash conversion ratio was 117%. Remember we repaid all COVID related deferred payments in Q3 of last year; hence the number is clean. The balance sheet remained very strong, with a net debt-to-EBITDA ratio of 0.3 times at quarter end. Overall, we have solid cash and balance sheet positions, which allows us to balance continued attractive shareholder returns, with investments to execute on our ambitious future of work strategy. We moved to a new global business unit structure on January 1. So, you'll notice some changes in the following sections, which are intended to help you understand the performance of each of the GBUs more clearly. Adecco's global revenues were up 2% on a trading days adjusted basis in Q1, with March revenues up double-digits. On a sector basis, the business was well positioned to win further contracts in logistics and e-commerce, which continued to grow at around 40% year-on-year in Q1. Demand was also solid in manufacturing, health care and government services. Less favorably, automotive continued to be tough with structural challenges exacerbated by the recent semiconductor chip shortages. The impact of lockdown restrictions on the retail and hospitality sectors continued to be significant in the quarter. Although, we're starting to see some improvement as economies begin to reopen. These are small businesses at a group level, but are more important in some markets such as France and Benelux. EBITA excluding one-offs was €173 million with a margin of 4.4%, up 120 basis points year-on-year. Approximately, 25 basis points of that improvement came from employment support schemes. The remaining 95 basis points came from a combination of favorable mix, pricing and sustained cost discipline. When we talk about mix, it includes a number of dimensions, all of which we're focused on. First, it means expanding the proportion of revenues coming from our higher-margin service lines such as outsourcing and training. It also means focusing our flexible placement services on the parts of the market where our solutions are most differentiated, such as more specialized skill sets or nontraditional models like long-term placements or apprenticeships. And last, it means in some cases, exiting contracts, where it's not possible to generate the returns that we expect. As growth comes back, we will continue to invest to leverage that growth in a disciplined and selective way. We successfully established the new global Adecco organization, which is simplifying management of the business adding consistent performance management and benchmarking and bringing strategic alignment across the regions. We're pleased with how dynamically the new organization is operating. Moving to slide 7, you can see the performance of Adecco at the regional level. In France revenues were flat year-on-year and we maintained our market share. The flexible placement business did well in light of its more meaningful exposure to sectors such as automotive retail and hospitality, which were all significantly challenged in the quarter and its lower exposure than competitors to the construction sector which grew well. France offset the headwinds from its sector mix through continued expansion in targeted growth sectors, such as logistics and medical. Good growth in its nontraditional models, including long-term flexible placements and very strong growth in the higher-margin solutions area. Going forward, management will continue to drive products and services diversification while maintaining price discipline and delivering cost efficiencies. Northern Europe was also flat year-on-year with good growth in the UK, up 13% offset by declines in Benelux and Nordics. In Adecco DACH, revenues were flat year-on-year but Germany improved with previous restructuring efforts, now delivering benefits. Southern Europe and EEMENA was the standout performer with revenues up 13% year-on-year, gaining market share and now above pre-crisis levels. All sub-regions delivered growth with Italy up 21%. In the Americas, revenues were flat year-on-year. Latin America was up 23%. North America was 9% lower year-on-year. This reflects its exposure to more challenged sectors such as automotive and its lower exposure to the more dynamic parts of the economy such as logistics and transportation. Management is focused on improving growth and has a clear path to delivery. We're implementing an omnichannel operating model, with a streamlined branch network, central hubs and digital channels. We're focusing our sales force on high-growth sectors enabled by data analytics. These actions lay the foundations for strong performance, but it will take some time to fully deliver. Lastly, Adecco APAC was down 2%, mainly driven by the exit of certain lower-margin activities in India. Growth in the important Japanese business remained positive, up 3% year-on-year. All Adecco regions delivered very robust year-on-year margin improvement. Let's turn to slide 8 and Talent Solutions, which comprises our LHH, general assembly, professional recruitment and pontoon brands. Revenues were flat year-on-year, reflecting the diverse performances of the subunits and natural hedges within the portfolio. Let me summarize the first quarter dynamics. Revenues from the countercyclical LHH business, was 7% higher year-on-year, softening from 16% in Q4. Career transition activity in Europe picked up and we saw accelerating demand for talent development services; however US career transition slowed. The order book and pipeline remains strong, but customers are reviewing the scale and timing of restructuring projects given the sharp improvement in the US economy. The flip side of the lower career transition activity in the US is that we saw US professional recruitment improved sequentially with permanent placement in March above 2019 levels. As growth comes back in US professional, we're all seeing some interesting market dynamics. Approaching 50% of our job orders are now candidate location agnostic, meaning that remote working is possible. That's a shift compared to pre-crisis when only a small proportion of jobs were remote. Although, it's early, we believe this is a positive development for us. We can leverage a national network and talent pool combined with front office tools that are sufficiently flexible and powerful search and match capabilities. Global professional recruitment sequentially improved, but was 6% lower year-on-year, reflecting its exposure to European countries still in the midst of lockdowns. General assembly's revenues were 1% higher year-on-year. B2C is softer, as job prospects in the US economy improved and the opportunity cost to individuals of full-time training rises. On the other hand, general assembly is seeing very strong demand for its reskilling offerings among business customers. In Pontoon, revenues were 4% lower year-on-year. The business saw good growth in MSP fully mitigated by the impact of its exit from certain lower-margin direct sourcing activities. Vettery and Hired was successfully integrated in the quarter and the Hired brand was commercially relaunched. Bookings have been strong. Turning to the drivers of the business's 8.7% EBITA margin. This is a good result, up 130 basis points year-on-year helped by mix, reflecting LHH's growth and well supported by strong productivity improvements in professional recruitment. The strong margin performance was achieved even while we stepped up investments in our market-leading digital solutions such as Ezra and Hired. Let's turn to Modis. Our technology and digital engineering business on slide 9. Performance in Q1 was solid and should be seen in light of the later cycle nature of the business. Modis is more resilient than our other GBUs through the crisis and particularly at the beginning of the downturn. Its comparative is therefore tougher than in the Adecco business for example. Revenues were 3% lower year-on-year. On a geographic basis, APAC continued to grow, up 3% led by Japan. The Americas was 4% lower and EMEA declined by 9%. The business delivered well on its strategic ambitions. There was strong improvement in the US business reflecting early wins from repositioning towards smart industries. The higher value, higher-margin tech consulting activities were up 5% year-on-year and are at pre-crisis levels and demand for Academy Solutions was good. The EBITA margin of 6% was 100 basis points higher year-on-year. Margins benefited mainly from mix and improved bench utilization. Moving to slide 10. Let's return to the group's results, this time by service line. A clear theme over the last 12 months is that the diversification of services in Adecco Group's portfolio drives margin resilience. In Q1, we saw the cyclical businesses improve, while countercyclical career transition slowed. We also saw strategically important service lines outperforming with training, upskilling and reskilling growing 28% organically and high single-digit growth in outsourcing and consulting. Turning to slide 11 and gross margin developments. Overall, gross margin performance was strong, up 80 basis points in reported terms and organically. The impact of currencies was 10 basis points negative and was offset by an equivalent positive impact from M&A. Flexible placement had a positive impact of 80 basis points. Approximately 20 basis points came from COVID-19 employment support schemes. That leaves a strong underlying improvement of 10 -- of 60 basis points, reflecting disciplined pricing, better mix and the continued approach to selectively exit lower margin activities. Permanent placement had a 30 basis points negative impact. As it's usual at this point in the economic cycle, perm growth is recovering less quickly than flexible placement. This creates a drag on margins as this business enjoys fees with close to 100% gross margin. Offsetting the decline in permanent placement were career transition which added 10 basis points and other services such as outsourcing and training which added 20 basis points. Let's move to slide 12, where on the left-hand side of the slide we can see the SG&A development relative to sales and gross profit. Overall, we continue to manage our SG&A effectively with costs down 2% organically year-on-year even with revenues growing driving strong operating leverage. Looking at the breakdown of the SG&A movements, FTEs were down 6% year-on-year with personnel expenses down by 4% organically. As activity picks up, we've brought back most of our colleagues who've been on short term work. With that the impact of COVID related employment support on SG&A has further diminished to around €3 million in Q1. On the other hand, the improved performance in Q1 meant the bonus and commission accruals were up year-on-year. We continued to invest in IT and our digital capabilities as we ramp the future of work strategy. Strong operational discipline meant that our productivity ratio gross profit per FTE increased by 12% organically in the quarter. Our conversion ratio reached 20.7% and was up 540 basis points when compared to prior year organically and excluding one-offs, leading the peer group. The organic drop-down ratio meaning incremental gross profit converted into incremental EBITA was 136% in Q1. As we said last quarter, when the growth is close to zero, the recovery ratio or drop-down ratio is less meaningful. Nevertheless, this is a strong result. On the right-hand side of the slide, you see the impact of the gross margin uplift and the strong operating leverage. EBITA margin was 4.2%, up 120 basis points on both a reported and an organic basis. Coming now to the Q2 outlook on slide 13. Revenues returned to growth in Q1, up 2% organic and trading days adjusted with 9% growth in March. The improvement was driven by the year-on-year comparisons rather than sequential growth with Q1 seeing a stabilization in the revenue recovery as locked down measures were tightened across most of our markets. As we exit the quarter, year-on-year growth has sharply accelerated due to the comparisons. We also see a gradual improvement in the weekly sequential trends in April as vaccination campaigns accelerate and restrictions are eased in some countries. We expect this to continue though we are cognizant that COVID-19 and economic uncertainties remain elevated and the recovery is likely to be non-linear. We will continue to improve our gross margin with a strong focus on mix and pricing. On the cost side, we will remain disciplined in our approach to investments. With a focus on driving strong productivity and operating leverage from the return to growth. We also expect the group to continue to generate solid cash flow underpinning our balanced capital allocation policy. And with that I'll hand back to Alain.
Alain Dehaze: Thank you, Coram. And before we conclude a short reminder of the strategic direction of the group. With Future@Work we have developed distinct strategies for all three global business units; Adecco Talent Solutions and Modis. For Adecco, focus is on market share cost leadership and differentiated services with a digitized omnichannel strategy, driving superior client, and candidate experience. In Talent Solutions, we will drive growth by addressing the end-to-end skills transformation needs for customers bringing together the complementary strength of the various brands. And with Modis, we are building a market leader in technology consulting focused on smart industries. Underpinning the strategies of all three business units is a group-wide focus on customer experience, differentiation, and digitalization, the key enablers of Future@Work. And central to the entire strategy is a clear common social purpose to make the future work for everyone. Let me conclude with slide 15 and our 2021 priorities. We look to build on the Q1's growth with each global business unit pivoting towards growth areas in a disciplined and data-driven way, leveraging our unparalleled service range. The GPUs will also prioritize the delivery of strong margins and cash returns, sustaining a disciplined approach to pricing, cost, and investments in their businesses. The implementation of Future@Work has begun well, but we are in the heavy lifting phase. Successful execution of our key digitization and transformation initiatives is front of mind. As we continue to implement our strategy, we will not lose sight of our objectives to make the future work for everyone. And with this I kindly hand over to the operator for the question and answers. 
Operator: The first question comes from Andy Grobler from Credit Suisse. Please go ahead.
Andy Grobler: Hi, good morning. Just a couple from me if I may to start with at least. You talked about the 40% growth in logistics and e-commerce during the quarter. Can you just give us a sense of how big that is within Q1 as a proportion of say Adecco's revenues? And secondly as we go into -- well there's three questions. Secondly, if we go into Q2 can you give us a bit of guide around gross margin and SG&A? And thirdly, savings from previous years in terms of GrowTogether and so forth. Do you expect those to become apparent within numbers through 2021 and 2022, or if they kind of being reinvested into the business or lost in the mix during that period?
Alain Dehaze: Thank you, Andy for your questions. Regarding the segment logistics and distribution and the 30% growth in this quarter we speak about 9% of our global revenues.
Coram Williams: And let me pick up on the questions around gross margin and growth together. So, in terms of the gross margin going into Q2. I think you know we have a diverse portfolio. So, giving precise guidance is tricky but let me try and give you a couple of pointers. Firstly, M&A is likely to be a slight positive because of the divestment of the vendor parts business, so probably around 10 basis points. Foreign exchange is likely to be a bit more negative than it was in Q1, so maybe around minus 20 basis points. And then thirdly, the hedge that we've seen in our gross margin between term and career transition, the dynamics are shifting slightly. So, as we've outlined the growth in career transition is slowing as economies pick up. But perm is starting to become a bit more positive. So I think it's fair to assume, you'll see that natural hedge continue and the two largely offset each other. And then, that leaves the temporary gross margin the flexible placement gross margin, that's likely to be positive in Q2. The reason for that is, there were a number of one-offs relating to COVID-19 in Q2 '20. We quantified those at around 40 basis points this time last year. They will reverse and there's probably going to be a little bit of underlying improvement in gross margin as well, as we focus in a disciplined way on pricing and mix. So I would assume 50 to 60 basis points of positivity on the temp gross margin. In terms of conversion ratio, drop down ratio, the way that we manage the business is on that 50% drop down. So in other words €0.50 of every euro of additional gross margin drops through. It's obviously been higher in Q1. That's because it's a little less meaningful when the revenues are around zero because small movements create quite big variations. But it still shows, we're being very disciplined in the way we're managing cost. And so, I think going forward into Q2, you should expect us to be closer to that normal level of 50%. And that's because as revenues come back, we invest in FTEs. There's less employment support and some of our variable costs go up a little bit such as bonus and travel and expenses as the recovery comes back. In terms of GrowTogether, we've talked about this obviously in previous calls. We are very pleased with the way that program worked and we delivered €240 million in 2020. I mean, not all of that as we know drop-through to the bottom line. That's partly because revenues were significantly below what we expected at the beginning of the cycle. And we also made some strategic decisions to invest in ventures, IT and digital. Nevertheless, I think you can see from the strength of our margin performance, the productivity improvements that we've got the 12% up on gross profit per FTE that there is definitely an underlying benefit from the GrowTogether program. And you see that in our margin performance right now.
Alain Dehaze: Thank you for your questions, Andy.
Andy Grobler: Thank you.
Operator: The next question comes from Oscar Val Mas from JPMorgan. Please go ahead.
Oscar Val Mas: Yes, good morning. Can you hear me well?
Alain Dehaze: We can. Good morning 
Oscar Val Mas: Great. Good morning. So I have three questions. The first one just the sequential organic revenue growth. I was wondering, if you could provide a bit more detail on the monthly trends. So you provided March plus/minus 19% last year. That looks like you're running at 90% at 2019 levels. Could you quantify the 29 -- kind of the -- sorry the April level? And how much you've recovered in April? That's the first question. The second question is around branches. Has COVID-19 changed your thinking around the need for branches in the medium term? And then the third question is around your digital investments and maybe Adia in the US. Could you provide an update on how Adia is going in the US? And I think you mentioned, over the past few quarters that you were transitioning Adia from a hospitality exposed business to an industrial exposed business. Could you comment on how that switch is going? Thank you.
Coram Williams: Thank you, very much. Let me start on the revenue question. I think the right to focus on 2019 because, clearly the comparatives move around a lot in 2020 given that the crisis started in the middle of March. So, in terms of the comparatives versus '20, we were up 9% in March. In terms of the quarter the Q1, we were down 8% versus 2019. And if you look at the weekly trends in Q1, the sequential performance was very stable. It didn't move up significantly, it didn't move down significantly. And that's because the restrictions that were in place during Q1 in a lot of our key markets acted as a little bit of a cap to growth. What we've seen in the early stages of Q2 is a modest improvement in sequential -- in the sequential performance. So, the weeklies have improved modestly through the month. It's a little bit of noise at the beginning of April because of Easter, but we are definitely seeing a modest improvement in sequential performance as the restrictions start to get lifted, as vaccination campaigns really come through. And clearly, given the comparatives in Q2, that will mean a significant bounce back in terms of revenues. But I think to reinforce the points, I made in my script, we'd expect that modest sequential improvement to continue through Q2 assuming that vaccination programs gain momentum and that the restrictions get lifted.
Alain Dehaze: Thank you, Coram. Now, coming to your question regarding the branches. What we see is that, COVID has not changed the megatrends, that has accelerated the megatrends. And with this, the digitalization also the digitized relationship with candidates and our customers. So you have seen in the quarter indeed a decrease of about 9% of our number of branches. In these branches you have a mix of classical branches, but also on-site. We strongly believe that, yes branches will -- are here to stay. But for sure their role is changing. They are becoming more and more focused on opportunity of customer-facing and candidate facing. A lot of process are and will be automated. But at some point of time, for an advice regarding career for a special assessment. And if you -- especially if you are in blue-collar areas you need to test dexterity you need to assess the dexterity of your candidates and you need the physical presence to do this. And so that's how we see the role of our branch developing. So not really a disruption, but continuous evolution with also the development of this new role. Then on the digital investment and more specifically your questions regarding Adia, US. Yes, we are very pleased with the pivot that Adia has done to give you some direction regarding the figures. We had a triple-digit growth in the first quarter of this year. The business is still small. But beyond, I would say the business growth this is also for us a way to develop learn test some new automated processes and order processes then we can apply in the traditional Adecco business. For example, Adecco Direct is also largely inspired by what we have learned to Adia -- or in Adia. Thank you for your question.
Operator: The next question comes from Hans Pluijgers from Kepler Cheuvreux. Please go ahead.
Hans Pluijgers: Yes, good morning all. First of all question on-site. You just mentioned that maybe also you closed a few of the branch in on-site. But could you give maybe some feeling on what the growth was in on-site or let's say, what the sales trend there was year-on-year? Secondly coming back on the gross margin 80 basis points improvement year-on-year in the Flex part. You already mentioned let's say that, there was a mix changes the 20 basis points impact from furlough support. But if you give maybe some more color on the rest? You also mentioned idle time was reduced in the professional part. Is it also impacting that? And also, on the low-margin contract. Could you maybe also some feeling on what the impact was that on the gross margin? And maybe more in general also what was the impact on exiting low-margin contracts on sales? And then a last question from my side. Now let's say you see that the market is recovering. You have been very disciplined on pricing, but how do you see competition and especially from the smaller and mid-sized players? And what do you see the risk there let's say in the coming quarters? 
Coram Williams: I'll take the first three of those. So on-site and the strength of the gross margin and impact of exiting sales and I think Alain will pick up on the final one. In terms of the mix it's actually -- we've seen similar trends all the way through. So the on-site business continues to do well. It's up high teens in terms of percentage year-on-year. So I hope that gives you a sense of how on-site is doing. In terms of the strength of the gross margin there are a couple of things going on here. Firstly, the natural hedge that we have seen all the way through the crisis between career transition the countercyclical business and perm placement has continued. Earlier in the crisis career transition was growing strongly which was helping us to offset the perm placement drag. That slowed a little bit, but perm placement has started to improve. So you still see that natural hedge and I think that's a real differentiator within our gross margin. In terms of the flexible placement business which is up 80 basis points, yes 20 basis points of that comes from employment support schemes primarily in Adecco Americas and Adecco Northern Europe. There's also some costs that we incurred at the beginning of the crisis in Q1, '20 which didn't repeat in Q1 2021. And we said at the time that was worth around 10 basis points. But you still have an underlying improvement in our gross margin of about 50 basis points which is really strong and it comes from three things: it comes from our continued discipline around pricing. It comes from a continued focus on the value that we're delivering to our clients. And it also comes from the mix point that I highlighted earlier in my script where we are homing in on higher-margin business like outsourcing like training and really making sure that what we're building is a better higher-quality revenue base with stronger underlying margins. It's the discipline with which we are approaching the crisis. In terms of the exiting there are a number of -- and this is really continuing the theme actually of the discipline and building a higher quality business. We have exited a number of contracts where we just don't think we're generating the kind of returns that we should. So, for example in the Benelux, we've done it. We've done it in India. We've exited some low-margin direct sourcing in Pontoon. And there have been a couple of other areas in the business around the group where we have chosen not to continue to operate those low-margin contracts because we believe that's the way to build a sustainable business. And in terms of the impact on revenue, it's probably somewhere between 1% to 2% within the quarter. So I hope that gives you a sense of the impact of that. 
Alain Dehaze : And then coming to our pricing or pricing discipline going forward. Yes, I can confirm that we have been and will remain very disciplined. We are aiming at sustainable profitable growth. What we see at this stage is that yes, because of the vaccination reopening of the economies some business are growing.  Do we see more pressure coming from this -- from mid-sized players not really. You see also that in some areas there is scarcity of candidates, which justify the value of the work we are providing. So at this stage no specific pressure on the pricing side coming from midsize players. 
Hans Pluijgers: Maybe one follow-up question on the gross margin. As you just mentioned, underlying 50 basis points improvement in Q1. And especially then looking at your Q2 guidance of 50 to 60 basis points positive, while there was your last year still a 40 basis point negative impact from COVID, does it let's say for me sounds a little bit the guidance for Q2 a little bit on the low end. Especially, let's say if you look price, discipline, exiting contracts and focusing on higher-margin business is let's say somewhat is more sustainable. So I can't precisely match those two? 
Coram Williams: Look, I think we're coming -- there's been a period pre-crisis where there was a lot of gross margin pressure in the industry as a whole. And I think what you've seen through the crisis is real discipline around pricing, around mix. And as I outlined, exiting lower-margin business. Now built into our guidance is the absence of the 40 basis points, but I do also think there will be an underlying improvement.  I just -- I think it's important that we don't assume we can keep delivering 50 basis points every quarter. But we're very focused on making sure that we continue that discipline and that we continue to deliver a strong gross margin and an industry-leading gross margin. 
Alain Dehaze : Thank you, Hans for your questions.
Hans Pluijgers: Thank you.
Operator: Next question comes from Paul Sullivan from Barclays. Please go ahead.
Paul Sullivan: Good morning, everyone. Just really to follow-up on that. I mean so is the message on -- is the message really sort of no organic focus on gross profit organic going forward because your gap to Randstad and the other seems to have deteriorated over the last few quarters? And how does that fit in with your previous desire to grow with the market, or should we really not -- or should we be really focused on that gross margin and gross profit organic growth going forward?  And then just secondly, your thoughts on underlying market wage inflation and how you see that coming through the business and just your overall perspective on that please? Thank you.
Coram Williams: Thank you, Paul. I think on the question about relative performance. We do have a different mix of businesses. We have a different mix of geographies. In particular, we have a big French business and as you know the French market has been challenging because it is the one where there are still the tightest restrictions of any country in Europe and that has dampened growth. And other areas like certain parts of Northern Europe we don't have such a presence. So I think there's an element of mix in this.  As I just mentioned, we're also exiting certain business because we are very focused on making sure that we're building the right quality of business and operating in a disciplined way. And that's worth one to two points. So I think that had an impact as well.  In terms of market share, I hope you get a sense from our script that we're actually pleased with the market share performance. We think it remains pretty solid. And in a number of territories, we have taken share particularly in Southern Europe, but there are others as well. And so in this early stage of the recovery, what we're doing is balancing the need for growth with the need to maintain good returns and really trading a fine line between the two. We're not going after growth at all costs. We're doing it in a disciplined, sustainable way and you see that in our gross margin and our EBITDA. Longer term, we're convinced that that will position group to allow us to deliver on our midterm goals and really take share over time.  In terms of inflation, I'm aware there's quite a debate about the effects of wage inflation right now. We are seeing pockets of wage inflation, particularly in Latin America and Eastern Europe, but actually what's happened as a result of the crisis more generally seems to be that the tightness of the labor market that we saw before the crisis has eased a little. And therefore, actually wage inflation across the group is pretty limited.  And the final point, I'd note on this is that, if it does turn out to be stronger than we're seeing so far then obviously, that is a positive for the business in terms of the way that the revenues and the margins reflect that. 
Alain Dehaze : Thank you, Paul for your questions.
Paul Sullivan: Can I just follow-up? Just can you remind us how far we are through all these exits? I mean it seems to have been a recurring feature now for many, many quarters. 
Coram Williams: I think it's -- I mean I've given you a sense of the impact in the quarter. I think we will continue to be selective and disciplined about the way that we manage our business. And if exit -- if there are certain contracts that don't make sense, we will continue to exit them. It's part of building a better quality of revenues.
Paul Sullivan: Yeah. And we'll still see that impact wash through in the second quarter. There'll still be some impact -- residual impact of that. I know it will be distorted with the comp and everything else. But underlying we'll still see a drag from that going through?
Coram Williams: Yeah. Absolutely. You will still see an underlying drag. But you're right, the comps distort things in Q2.
Paul Sullivan: Yeah. Okay. Brilliant. Thank you very much.
Coram Williams: Thank you Paul.
Operator: The next question comes from Anvesh Agrawal from Morgan Stanley. Please go ahead.
Anvesh Agrawal: Hi. Good morning. Most of my questions have been answered. But just on this pricing point. Now if you continue to focus on better pricing, theoretically should do higher revenue number even at lower volume going forward. Is that the right way to think about it? And then just if you can the contracts that you are exiting, who is picking up that in the market? Is that your more mid-sized large competition, or that is -- those contracts are picked up by the smaller players in the market. And another one is on -- just to clarify so logistics were up 40% in Q1. Can you give a comparable number for Q4 2020 and 2020 overall please?
Alain Dehaze: Yeah. I can start with the second question. When we look at logistics in Q4, we had a growth of 45% in this segment -- 45% in the -- for the Q4 to be compared with the 40% of the Q1 of this year. And in 2020, we had a growth of around 20%. Yeah, go ahead.
Coram Williams: And just in terms of your question on the mechanics of pricing, yes, it does have an impact on the revenue that we're achieving for every hour [ph] build. But it also -- and I think you're seeing this in the numbers it clearly helps our margins and particularly around gross margin. And then in terms of the contract exits, it's very hard to generalize. So the various contracts are going to various different players. And it's really -- it's spread around the industry both in terms of size and the people who are picking them up.
Anvesh Agrawal: Okay. And maybe sorry if I can ask one more. On the training up-skilling business, can you tell us what are the gross margin dynamics for that like the career transition is very high but what are the gross margins on training upskilling, reskilling business? And also does this business have similar amount of counter-cyclicality as your career transition business, or you think this business can grow beyond 2021, and therefore, the natural hedge can turn into a tailwind at some point later in the year?
Coram Williams: In terms of the margins, not quite as high as the LHH business, but higher than the staffing business. So you should assume probably a 60% gross margin on that business. I think in terms of the trajectory of the upskilling and reskilling business, longer term there is I think a real tailwind there, because a lot of what has happened as a result of the crisis is really a structural shift. And companies and individuals will need to adapt to a different workforce, a different set of sectors and different ways of working. And I think that has to be a structural positive for that business going forward.
Anvesh Agrawal: That’s very clear. Thank you.
Coram Williams: You're welcome.
Operator: The next question comes from Marden Kean from Jefferies. Please go ahead.
Kean Marden: Good morning. It's Kean Marden from Jefferies. I've got two quick areas to cover off if I may. The first is just a math. So if we compare with 2019 just looking at the organic revenue data that you've provided over the last 1.5 years. January looks like it's down about 6% relative to 2019, but March down 11%, which doesn't feel like it chimes entirely with your narrative of being sequentially flat during the quarter. So I'm just wondering if you can help us square the circle there? And then secondly on logistics just coming back to that. The large U.K. contract that you have, is that fixed in duration, or does that come up for retender? And when would that annualize, or did you get a full contribution from actually in Q3 and Q4 last year?
Alain Dehaze: So perhaps Coram can start with your first question and I'll follow up with your second.
Coram Williams: Yeah. Let me pickup on Q1. So the best way to focus on this is to think about it in terms of the quarter where it was minus 8% versus 2019. And the reason that picking it apart and looking at the month-by-month movement doesn't quite work is there were some very big trading day adjustments in January and March, and so that creates some noise in the figures. I think the most important aspect of this is what happened sequentially in the quarter and we saw real stability in those weekly figures. Didn't get better, didn't get worse. It's very consistent with what we were seeing when we talked to you on the Q4 call and that continued all the way through the quarter. So sequential stability and I think the -- just to remind you the other point is that in April, we have seen modest improvements in that. And that is consistent with vaccination programs gaining ground, gaining momentum and restrictions being lifted.
Kean Marden: Sorry, apologies. Just to follow-on that. So you provide trading day adjusted organic revenue growth numbers. So is there any reason why that wouldn't capture the trading day adjustments you just referenced Coram?
Coram Williams: I think the only point is it puts a bit of noise into the monthly comparative. So focus on the minus 8% for the quarter, the sequential stability and the fact that we've started to see sequential improvement in April. We're trying to give you a best guide as to what we see is happening.
Alain Dehaze: Then regarding the logistics contract in U.K. that we won last year, this is not, I would say, a single contract. This is also part of a broad relationship we have with these customers. We see -- and by the way, that's what you see also overall not only in U.K. but in the world and in Europe, you see the growth of the e-commerce solutions going up, and with this, the logistics service-related associated services So we have a strong growth, since the second quarter last year. And last year it was also offset by some business exits that we had in U.K. and so we are quite positive that both the structural trends regarding e-commerce and associated logistics. And now that we don't have this offset business that we will continue to have a strong growth further.
Kean Marden: Very clear, Alain. Thank you.
Alain Dehaze: You're welcome.
Operator: The next question will come from Michael Foeth from Vontobel. Please go ahead.
Michael Foeth: Yes. Good morning. And thank you. Two questions from my side, starting with automotive. Can you give us an indication on how your automotive business overall, developed in the quarter? And also, are you expecting sort of significant rebound here? What are you hearing from your clients? And it's also in automotive if you can make a specific comment on how your automotive exposure in Germany is developing? And my second question is on the productivity gains. You showed quite impressive productivity ratio improvements. How is that actually being achieved and practiced? And how much further productivity gains, can you achieve in coming quarters? Thank you.
Coram Williams: Good. Let me take, both of those. So, in terms of automotive, it was one of the few industries, where we did not see a sequential improvement between Q4 and going into Q1. And it was down 20% year-on-year. It's about 6% to 7% of the Group sales, overall. I think there are two things happening there. One as we know, the automotive industry is going through a fair amount of disruption, as the business moves from it's focus on internal combustion engines through to EVs. That's creating some disruption. It was further impacted by COVID-19, which put some pressure on it. And then, in Q1, we saw the chip shortages, and semiconductors really impact a number of different manufacturers in the automotive sector. So it's really been a bit of a perfect storm for automotive. I think as it will start to come back the chip shortage may take a little while, to fix. But I think the main players are pointing to a couple of quarters. And the impact of the transition from ICE to EVs will continue to be a theme. But demand is coming back, in the car industry. So I think we will start to see a modest improvement. In terms of the impact in Germany, that is a bigger proportion of the sales base. So it's around 15%. But I would point to the fact that actually the German business has been quite effective, at pivoting to other areas of growth and in Q1 was actually up 1%, and is driving stronger margins. So I think we are managing the effects of that in the German business. In terms of productivity, it's -- I think there are a couple of things happening there. Firstly, as you can see we've been very effective at controlling costs. We've been very, disciplined about putting investments back into the business, where we think it makes sense where we can see a growth trajectory. And we've been careful to hold back where we don't see that growth coming back. So it's about the disciplined way in which we put FTEs and investment back into the business. And I think there's also a benefit that you're seeing from the digitization of the business and the productivity tools that we're implementing around the group. So that's driving the productivity improvement overall.
Michael Foeth: Thank you.
Alain Dehaze: This was the last question. And before closing the call, I would like to make some closing comments and statements. So first of all thank you everyone for joining the call and for your questions. You have seen that we have delivered a robust growth in the first quarter with several businesses now back above 2019 levels. Margin, were strong across the portfolio with positive mix, pricing and cost discipline supporting year-on-year improvement. Now, we have successfully transitioned also to a new organization structure, built around the three global business units. And we have made good progress with Future@Work although, there is much more work to be done. Looking forward, we are encouraged to see continued recovery, though we are mindful of uncertainties related to the COVID-19. And the economic environment, even with vaccination campaigns underway and an easing of restrictions commenced. While the recovery remains uneven, we will continue to implement our Future@Work strategy, with the diversification of our portfolio, our operational agility and our strong financial position providing a platform to generate long-term value for our shareholders. Thank you. And talk to you soon. Bye-bye.